Operator: Good day, and welcome to the Aehr Test Systems Fiscal 2022 Fourth Quarter and Full Year Financial Results Conference Call. All participants will be in a listen-only mode. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Jim Byers of MKR Investor Relations. Please go ahead.
Jim Byers: Thank you, operator. Good afternoon, and welcome to Aehr Test Systems' fiscal 2022 fourth quarter and full year financial results conference call. With me on today's call are Aehr Test Systems President and Chief Executive Officer, Gayn Erickson and Chief Financial Officer, Ken Spink. Before I turn the call over to you Ken and Gayn, I'd like to cover a few quick items. This afternoon right after market closed Aehr Test issued a press release announcing its fiscal 2022 fourth quarter and full year results. That release is available on the company's website at aehr.com. This call is being broadcast live over the internet for all interested parties and the webcast will be archived on the investor relations page of the company's website. And I'd like to remind everyone that on today's call management will be making forward-looking statements today that are based on current information and estimates and are subject to a number of risks and uncertainties that could cause actual results to differ materially from those in the forward-looking statements. These factors that may cause results to differ from the forward-looking statements are discussed in the company's most recent periodic and current reports filed with the SEC. These forward-looking statements, including guidance provided during today's call are only valid as of this date and Aehr Test Systems undertakes no obligation to update the forward-looking statements. And now with that said, I'd like to turn the call over to Gayn Erickson, President and Chief Executive Officer.
Gayn Erickson: Thanks, Jim. Good afternoon everyone and welcome to our fiscal 2022 fourth quarter and full year’s earnings conference call. Thank you for joining us today. Let’s start with a quick summary of the highlights of the quarter and fiscal year and the momentum we're experiencing in the semiconductor wafer level test and burn-in markets. And then Ken will go over the financials in detail. After that, we'll open up the lines to take your questions. We're pleased to report very strong growth for fiscal 2022 with record revenue for both the fourth quarter and full year. Total revenue for fiscal 2022 was $50.8 million, our highest annual revenue on record and more than three times last year's revenue. We also had record bookings for the year at $60.2 million. Importantly, we're seeing the significant leverage in our operating model, as evidenced by the strong profit for the fiscal year. We also improved our balance sheet significantly with our year ending cash position of $31.5 million and no debt. Let me go ahead and start and talk about the wafer level test and burn-in markets silicon carbide for electric vehicles that's where a lot of the excitement is going on. Our strong revenue growth in fiscal 2022 was driven by the demand for our wafer level test and burn-in solutions, particularly for wafer level stress and stabilization of silicon carbide devices for use directly in electric vehicle market. The silicon carbide market for electric vehicles and its supporting infrastructure requirements are growing at a tremendous rate with Canaccord Genuity estimating that wafer capacity will increase from 150,000, 6-inch wafers in 2020 to 2021 to over 4 million 6 inch equivalent wafers in 2030 just to meet the electric vehicle market alone. This represents growth of over 25 times the wafer starts just for electric vehicles. They also forecast another 4 million 6-inch equivalent wafers to address other markets, such as industrial and solar power conversion. Our lead customer for silicon carbide wafer level burn-in made significant investments in their silicon carbide production throughout this past fiscal year. Today, we're excited to announce that we received $12.8 million in new orders from them for multiple FOX-XP systems, a high-volume production wafer pack aligner and a small number of WaferPAK full wafer contactors to meet their increased production capacity needs for silicon carbide-based power semiconductors for the electric vehicle market. All of this is expected to ship by the end of our fiscal third quarter ending February of 2023. This adds to the backlog of systems that we're shipping to them this fiscal year or fiscal quarter actually. In addition to the system capacity order, we expect significant subsequent orders for wafer packs needed for the system orders announced today, and they will ship at approximately the same time as the systems. We have continued to optimize the shipment and installation processes of our FOX-XP systems, with the last system shipped to them installed and released fully into production within eight days after we shipped it out of our factory, and that includes international shipping. We're excited to see them continue their ramp, and we continue to expect significant additional system and wafer pack purchases from them over the next several years and to the end of the decade, as they strive to be a market leader -- market leading supplier of silicon carbide devices. Aehr Test provides a highly unique and cost effective solution for applying the stress test across every device on an entire wafer before they are singulated input into packages or multi-chip modules. This allows our customers to burn-in every single device at a lower cost than they could in any other form due to our ability to contact 1000s of devices on a single wafer and test 18 wafers in a single system with our FOX-XP multi-wafer test and burn-in system and proprietary FOX Full Wafer Contact WaferPAKs. Silicon carbide-based devices such as MOSFETs, which stands for Metal Oxide Semiconductor Field Effect Transistors are extremely efficient, rugged and reliable semiconductors that are used in the power conversion to charge the batteries and battery electric vehicles and then the engine controller traction inverters that drive the electric engines in EVs. Industry leading semiconductor suppliers like our lead silicon carbide customer, tout key differentiators of silicon carbide over the silicon based IGBTs, which are insulated gate bipolar transistors that include silicon carbide its higher system level efficiency owing to the greater power density, lower power loss, higher operating frequency and increased temperature operation. This translates into a higher driving range on a single charge smaller battery sizes for traction inverters and faster charging time for onboard chargers. These silicon carbide-based traction inverters were first used by Tesla in their model three electric vehicle sedan. Tesla then converted all their electric vehicle engine controller traction inverters from silicon base to silicon carbide base MOSFETs. Forecasters like Canaccord Genuity yield development and Exawatt believed that most traction inverters will be silicon carbide based within the next several years. One of the biggest concerns of existing and would be electric car buyers is range anxiety, the fear of running out of energy before making it to a charging station. As some of you may have seen, just recently, in all electric Mercedes Benz recently drove 747 miles without recharging handily beating every electric vehicle on the market today. This ultra long range electric car called the Vision EQXX was sponsored by on semiconductor on semi and highlights the significant progress that is being made with these concerns by using silicon carbide traction inverters among other features. Silicon carbide MOSFETs are tested to ensure they meet technical performance and specifications at wafer level before the devices are singulated and then again in package or multi-chip module form before they're shipped to customers. However, the extrinsic failure rate or the early life failure rate of silicon carbide is much too high for mission critical applications, such as the traction inverters or even the onboard chargers of the EVs. As such, all silicon carbide MOSFET suppliers apply what is known as a stress test or burn-in test to every device that induces early life failures to happen within hours, rather than years to weed out the devices that would otherwise fail in the vehicles. We are currently engaged in discussions with most other current and future silicon carbide suppliers. The major silicon carbide companies expect that most EV traction inverters will move to multi-chip modules. As such they have told us that they must move to wafer level stress and burn-in to remove the extrinsic failures before they put these known good die into multi-die modules to meet their cost, yield and reliability goals of these modules. Air is unique low cost multi wafer level test and burn-in solution provides the test electronics and the device contact or technology that enables contact to 100% of all devices on a single wafer and the handling and alignment equipment to provide a total turnkey single vendor solution to meet the needed critical test and stress requirements. Our benchmarks and evaluations with prospective new silicon carbide customers continue with very good momentum. We've recently completed a wafer stress benchmark with yet another of a large -- the current large suppliers of silicon carbide with excellent results. They have told us that the FOX platform is the only solution that can scale to meet the production capacity needed to address the silicon carbide device growth, particularly for electric vehicle applications. This is an addition to our previously announced engagement with another large silicon carbide supplier, with whom we've been working closely with over the last year to correlate and qualify the FOX system to displace their current production reliability screening test and burn-in systems. The results of that benchmark also met a key milestone this last quarter, and we believe that we will successfully complete their correlation process over the coming months, which will allow them to move forward with our FOX Solution. We expect both of these companies to implement the FOX platform solution into their manufacturing production flow. In addition to the benchmarks with these two large silicon carbide companies, we have been approached by several more silicon carbide suppliers to evaluate our FOX-XP systems to meet their production needs for traction inverters and onboard chargers for electric vehicles, and also for other applications such as electric commuter train engine controllers, photovoltaic power conversion, and other industrial applications. As a result of all these positive evaluations, we believe that we will receive orders from at least several new silicon carbide customers and begin shipping systems to meet their production capacity by the end of our current fiscal year that ends May 31, 2023. With major production releases and ramps and many new electric vehicles from every automotive supplier in the world, and many new electric vehicle focus players coming into the market in 2024 and 2025. There was a significant industry ramp needed to expand silicon carbide production to meet the forecasted needs of these electric vehicles over the next few years and through the end of the decade and beyond. Now moving to other markets, we're seeing a continued recovery and strengthening in several key wafer level test and burn-in market segments after the last two years of softness related to COVID-19. This includes Silicon Photonics devices for data center and 5G infrastructure, 2D and 3D sensors for mobile and wearable devices, and a new high-volume application for data storage on the horizon. Specifically for silicon photonics during the COVID 19 shutdowns the data centers such as Facebook, Google and Amazon did not upgrade their data centers from copper-based links to fiber optic communication links as originally planned. The Silicon Photonics market had been forecasted to have 30% to 40% cumulative average growth rates for the last few years and through to the end of the decade. However, they ended up being flat over the last two years with COVID-19, with no growth at all. We're fortunate enough to work with the market leader and several other key players in the space who all qualified our solution in 2019. However, if they're not growing, they're not buying test systems to meet their increased needs. At the IMEC technology forum last week, Silicon Photonics was described as an industrial reality in the critical path of data centers and AI scaling, and that advanced CMOS processing and heterogeneous integration will be necessary to address the silicon photonics scaling challenges. We have been told by several of our customers including elite customer, that wafer level burn-in and stabilization plays a key role in enabling Silicon Photonics mass production. Our lead Silicon Photonics customer that is one of the world's largest semiconductor manufacturers continues to use Aehr for wafer level burn-in and stabilization of their Silicon Photonics wafers. During the last year they added a significant number of additional FOX NP systems to support the characterization and product qualification of new photonics-based devices. This customer is expected to purchase new sets of wafer packs to be used with these systems. And as the applications and market for silicon photonics-based devices continues to grow. We expect this customer as well as our other customers in the space to continue to increase their capacity in the future. In just the last month, we received WaferPak orders for new devices from a couple of our Silicon Photonics customers. And we're expecting customers to resume buying in the current fiscal 2023 and 2024. Several customers addressing the silicon photonics market have forecasted additional FOX systems and WaferPAK or DiePAK contactor capacity needs over the next 12 minutes. We expect to see a nice recovery in this market segment sometime over the next year or two, based on what we're being told by our customers. We continue to see new programs for our FOX XP solution for 2D and 3D optical sensors. Last year, we saw yet another device for a new application that we feel would drive our consumables business and possibly require incremental system capacity this fiscal year. We continue to be optimistic that this market segment has significant potential over time, and we continue to meet our lead customer and their sub cons needs and to play an important role in their test and reliability supply chain. Our newly customer in a new very high volume application for data storage devices that purchased the FOX-CP single wafer production test and burn-in system essentially went dormant during the COVID-19 shutdowns. They have begun to show signs of recovery and restarting their planned production capacity ram, which feels like it will begin later this fiscal year or next fiscal year at the latest. We continue to believe that this will drive a significant number of FOX-CP systems. Now let me spend a few minutes talking about our R&D investments in manufacturing and supply chain. We continue to make investments in our FOX Full Wafer and Singulated Die Test and burn-in solutions. Last year, we shifted resources away from a plan new package part test system to focus on our FOX products. This year Aehr will be releasing several test system enhancements that will extend our market leadership of our FOX products for full wafer test and burn-in. These include added voltage ranges, increased parallelism per wafer, new burn-in and stress conditions, and a new fully automated FOX WaferPAK aligner configured to fully integrate with our FOX-XP multi-wafer systems to enable hands free operation. We believe that this will become more important over time for a widespread adoption of wafer level burn-in for multiple markets beyond the markets we address today. As I've noted before, despite a few bumps in the road, our supply chain is holding up extremely well to the increase in demand and growth. And we've been able to maintain reasonable lead times to meet customer requests. We're very confident in our ability to meet the customer forecasted demand plus considerable upside. I also want to emphasize that we purchased additional material and have a supply chain in place to significantly grow beyond our revenue guidance for the fiscal year. We will have better visibility in the second half of the fiscal year and exactly what that looks like. And once we get closer to understanding the actual capacity needs and requests of our customers, we'll provide an update. We're very encouraged by the positive momentum we're seeing with current and prospective customers and anticipate multiple new customers will begin placing orders and taking shipments to meet the enormous needs of silicon carbide devices used in electric vehicle market over the next decade. We also see a recovery beginning this year in other key market segments including silicon photonics and 2D and 3D sensors, and another new market opportunity for data storage on the horizon. If current and/or new customers increase our forecasts and are designed to pull in orders, we have significant uptake capacity to meet their needs. This provides us with the confidence that we can meet a significant upside in revenue shipments at the customer demand pulls in. We believe we will add several new silicon carbide customers that will be ramping into production by the end of our fiscal 2023 that ends next May. This is in addition to a significant additional investment and capacity by our current lead customer for our silicon carbide wafer level burn-in solution. For the fiscal year ending May 31, 2023, Aehr expects total revenue to be at least $60 million to $70 million with strong profit margins similar to last fiscal year. Aehr also expects bookings to grow faster than revenues in fiscal 2023, if the ramp and demand for silicon carbide and electric vehicles increases exponentially throughout the decade. With that, let me turn it over to Ken to review our financial results and guidance in more detail before we open up the line for questions.
Ken Spink: Thank you, Gayn and good afternoon everyone. As Gayn noted, we're pleased to report record revenue for both the fourth quarter and full fiscal year. Our fiscal 2022 revenues of 50.8 million were more than 3x last year's annual revenue. In addition to record revenue, we finished the year with record bookings and strong growth in our profit margin. We also finished the year with a solid balance sheet with cash of over 31 million and working capital of 49 million. Looking at our financial results in more detail. Fourth quarter net sales were 20.3 million, up 33% sequentially from 15.3 million in the preceding third quarter and up 166% from 7.6 million in the fourth quarter of the previous year. These record Q4 revenues reflect our capacity to increase revenues. We actually shipped over 10 million for revenue in the single month of May, which really shows our ability to scale and meet customer demand even in the near term. WaferPAK and DiePAK revenues comprised 45% or 9.2 million of our total revenue in the fourth quarter. This is our second consecutive quarter of record WaferPAK, DiePAK shipments reflecting the growth and the consumables piece of our business. Non-GAAP net income for the fourth quarter was 6.5 million, or $0.23 per diluted share, which excludes the impact of stock-based compensation. This compares to non-GAAP net income of 4.1 million or $0.14 per diluted share in the preceding third quarter, which excludes the impact of stock-based compensation, and a $1 million, one time charge for excess and obsolete inventory and non-GAAP net income of 930,000, or $0.04 per diluted share in the fourth quarter of fiscal 2021, which excludes the impact of stock-based compensation. On a GAAP basis, net income for the fourth quarter was 5.8 million, or $0.20 per diluted share, compared to GAAP net income of 2.2 million or $0.08 per diluted share in the preceding third quarter, and GAAP net income of 567,000, or $0.02 per diluted share in the fourth quarter of the previous year. Gross profit in the fourth quarter was 10.5 million or 52% of sales, compared to gross profit of 6.4 million or 42% of sales in the preceding third quarter and gross profit of 3.5 million or 46% of sales in the fourth quarter of the previous year. During the preceding third quarter, the company recognized a charge of $1 million related to reserves for excess and obsolete inventory on legacy parts, which represented a 6.7 percentage point impact on third quarter gross margins. Excluding the impact of this charge gross margin in Q3 was 7.4 million or 49% of sales. The increase in gross margin from both the preceding third quarter and Q4 of last year is primarily due to a decrease in unabsorbed overhead costs to cost of goods sold related to higher revenue levels in Q4. Because our manufacturing overhead costs are relatively fixed relative to revenue levels. Our gross margins increased significantly with increasing revenues where our fixed costs are basically spread over the larger revenues. As Gayn noted, with the high revenue we're generating, we're seeing this significant leverage in our operating model to our bottom-line, as evidenced by the strong growth in gross profit. Operating expenses in the fourth quarter were 4.6 million, an increase of 507,000 or 12%, from 4.1 million in the preceding third quarter and up 1.7 million or 58%, from 2.9 million in the fourth quarter last year. SG&A in the fourth quarter was 3 million, an increase of 381,000 from 2.6 million in the preceding third quarter, and up 1.1 million from 1.9 million in the prior year fourth quarter. The increase in SG&A expense from the preceding third quarter included an increase in employment costs of 275,000. primarily due to higher incentive payments related to bonuses for exceeding revenue and profitability targets. The increase from prior year fourth quarter included an increase in employment cost of 768,000. The increase in employment costs including an increase in headcount, salary increase increases for employees during fiscal 2022. higher commissions and incentive payments related to bookings, revenues and profitability. And stock compensation costs related to stock bonuses and/or employee stock purchase plan. In addition to the increase in employment costs, the company recognized increases in travel and entertainment and shareholder relations cost. R&D in the fourth quarter was 1.7 million, up 126,000 compared to 1.5 million in the preceding third quarter, and up 626,000 from 1 million in the fourth quarter of the prior year. The increase in R&D from the preceding third quarter includes an increase in employment cost of 198,000, due higher incentive payments related to bonus objectives. This was partially offset by a decrease in professional consulting of 78,000 as Q3 '22 included milestone payments related to R&D program initiatives during fiscal 2022. The increase in the prior year fourth quarter included an increase in employment cost of 618,000. This increase included an increase in headcount, salary increases for employees during fiscal 2022. Higher incentive payments related to bonuses for exceeding revenue and profitability targets and to our compensation costs related to stock bonuses and our employee stock purchase plan. We continue to invest in R&D to enhance our existing market leading products and to introduce new products and maintain our competitive advantages and expand our applications and addressable markets. Now turning to the results for our full fiscal year. Net sales for fiscal 2022 were a record 50.8 million, up 206% from net sales of 16.6 million in fiscal 2021. For the full fiscal 2022, system revenues accounted for 50% of total revenues, compared to 44% in fiscal 2021.WaferPAK and DiePAK consumable revenues accounted for 45% of total revenues in 2022, compared to 35% of revenues in fiscal 2021. Customer service revenues accounted for 5% of revenues in fiscal 2022 compared to 21% of revenues in fiscal 2021. Non-GAAP net income for fiscal 2022 was 11.7 million or $0.42 per diluted share, which exclude the impact of stock-based compensation, a 1 million adjustment taken in the third quarter for excess and obsolete inventory and forgiveness of the 1.7 million paycheck protection program loan received in fiscal 2020. This compares to non-GAAP net loss of 3.2 million or $0.13 per diluted share, which excludes the impact of stock-based compensation and a non-cash net gain of 2.2 million and tax benefit of 215,000 related to the closure of Aehr’s Japan subsidiary in the first quarter. On a GAAP basis, net income for the fiscal year was 9.5 million, or $0.34 per diluted share. This compares to GAAP net loss of 2 million or $0.09 per diluted share in fiscal 2021. Gross profit for fiscal 2022 was 23.7 million or 47% of net sales, excluding the impact of the 1 million excess and obsolescence provisioned in Q3, gross margin for fiscal 2022 was 49%. This is up from gross profit of $6 million, or 36% of net sales in fiscal 2021. Excluding the impact of the one-time charge, the increase in gross margin percentage of fiscal 2022 compared to 2021 is primarily due to a decrease in unabsorbed overhead costs, the cost of sales related to higher revenue levels in fiscal 2022. Operating expenses in fiscal 2022 were 15.9 million. SG&A was 10 million in fiscal 2022, up from 6.6 million in fiscal 2021. The increase in SG&A includes an increase in employment costs of 2.6 million, resulting from the elimination of cost reduction initiatives implemented in fiscal 2021. Higher commissions and incentive payments related to increased bookings, revenues and profitability, stock compensation costs related to stock bonuses and our employee stock purchase plan, and an increase in headcount. In addition to the increase in employment costs, the company recognized increases in travel and entertainment, shareholder relations and consulting costs. R&D expenses were 5.8 million in fiscal 2022, up from 3.7 million in fiscal 2021. The increase in R&D includes an increase in employment costs of 1.7 million, professional consulting of 331,000 and project materials of 155,000. The increase in employment costs included an increase in R&D headcount salary increases for employees during fiscal 2022, higher incentive payments related to bonuses for exceeding revenue and profitability targets and stock compensation costs related to stock bonuses and our employee purchase stock purchase plan. The increase in headcount, consulting costs and project materials is related to R&D programs initiatives during fiscal 2022. Turning to the balance sheet for the fourth quarter, our cash and cash equivalents were 31.5 million at May 31, 2022, down 536,000 from 32 million at the end of the preceding quarter, and up 26.9 million from 4.6 million at the end of the fourth quarter of fiscal 2021. The increase from fiscal 2021 includes 24 million in net proceeds from our successful ATM offering in the second quarter of fiscal 2022. Accounts receivable at quarter end was 12.9 million up from 8.5 million at the preceding quarter end due to the impact of higher revenue levels, inventories at May 31 were 15 million an increase of 899,000 from the preceding quarter end and up 6.2 million from Q4 '21 to support our expected fiscal 2023 growth. As Gayn indicated, we have been ordering long lead components for systems and WaferPAKs to ensure adequate supply to meet customer lead times and forecasts. Property and equipment was 1.2 million compared to 776,000 in the preceding quarter end. Customer deposits and deferred revenue short-term and long-term were 2.5 million, a decrease of 3.8 million from the preceding quarter end and an increase of 2.2 million from Q4 '21 related to the changes in our backlog from prior quarters. The company has no debt. This compares to our May 31, 2021 fiscal year end, where we had 1.4 million outstanding on our line of credit and 1.7 million outstanding on our Paycheck Protection Program loan. Bookings in the fourth quarter were 4.4 million. Backlog as of May 31 was 11.1 million compared to 26.9 million at the end of the preceding third quarter, and 1.6 million at the end of the fourth quarter last year. Effective backlog which includes backlog as of May 31 and all orders since the end of the fourth quarter is 25.5 million. Now turning to our outlook for coming fiscal year, for our fiscal 2023 year ending May 31, 2023, we expect full year total revenue to be at least 60 million to 70 million, with a strong profit margin similar to last year. We also expect bookings to grow faster than revenues in fiscal 2023 as the ramp in demand for silicon carbide and electric vehicles increases exponentially throughout the decade. Lastly, looking at the investor relations calendar. Aehr Test will be meeting with investors virtually at the Needham Semiconductor and Semi Cap one on one conference on August 25. We hope to see some of you virtually at the conference. This concludes our prepared remarks. We're now ready to take your questions. Operator, please go ahead.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions]. And our first question will come from Christian Schwab with Craig-Hallum Capital Group. Please go ahead.
Christian Schwab: Hey, guys, congratulations on a strong start to the -- strong ending to the fiscal year and outlook for next. Gayn, when you guys are talking about, several more customer orders. Can you help us understand, is this going -- should we be assuming that this is going to come from kind of the major European and American silicon carbide manufacturers like STM or Wolfspeed, [indiscernible] et cetera? Or is there an opportunity to get into some of the newer Chinese manufacturers that are ramping as well?
Gayn Erickson: So even in our prepared remarks, we have talked about I think -- it started in a few quarters ago, we talked about a benchmark with one of the other major suppliers of silicon carbide today that I think given February, so we're saying it was taking longer than we had originally expected. That benchmark, we had a really key milestone that was achieved last quarter that bodes really well. We think that we can complete the correlation results, et cetera over the coming months, and we are expecting to get orders from them. We also teed up last quarter that we had indications from another [leak test] [ph] another of the large customers that wanted to do a on wafer benchmark. We were actually able to complete that. We brought up the WaferPAK the whole thing and we presented them with the correlation and test results recently that it was excellent results. And we were pleased with how that's going and think that we can advance that along further. And those were, two of the large silicon carbide players today, new players that are not current customers and I believe that we will be part of their production plans. And that's sort of how I'm describing it. We believe that they will be going forward with us. There are others. In fact there's a -- reviewing the funnel with Vernon and the team. There is a significant number of players that are talking about getting into silicon carbide. Many of them have been in now announced that include large and small and candidly, many actually see large players that have not announced their plans that have approached us and have been talking to us about their very real plans for entering the silicon carbide market. Now folks like Canaccord Genuity have actually been ringing the bell for the last really six months pointing out that the current announced plans by all the major silicon carbide suppliers only supplies about half of just the electric vehicle needs by the end of the decade. So it's welcome to have all these new players coming in, because all of the players today don't have a chance of meeting all the demand as they basically go from 1x to 25x, the output by the end of the decade. So we're leaving it kind of open, not trying to be too vague here. But there's -- we're going to have a pretty significant number of silicon carbide customers, and we're just trying to make sure people understand that that will include at least several this year that will not only buy from us, but will already start taking production orders for their ramps.
Christian Schwab: Great. And then, Gayn, when we talk about wafer starts in silicon carbide for the electrification of the automotive industry. Have you guys know, yields are substantially different potentially, by different customers. But for every -- can you give us an idea, or if you've been able to finalize yet or not have enough data for every 25, or 50,000 wafer starts, if there was a customer using you, how much capital equipment they would need to buy. And the reason why I say that is, the wafer start numbers between Canaccord and others out there in the industry such as [indiscernible] and such as the lead provider, on the capital equipment side for I&M plan to really doesn't face much competition, those -- the trajectory of growth is very similar. The exact wafer starts aren't all that close. So I'm curious, your thoughts on that?
Gayn Erickson: Yes. Okay. So I'm going to try and answer it with a couple of different ways. So first of all, like, we get a front row seat of people's yield, and we sure as heck don't want to talk about it publicly. So when you look at the Canaccord’s of the world, et cetera, they're taking their assumptions of yield into account? I think most people understand and it's widely known that, the yield, the native yield of silicon carbide devices is not extremely high. Let's call it that. But it's also not, it's not crazy low either. So, I'm just not going to answer that. But specifically, if you look at gross die per wafer, which is prior to yielding, that data is out there. There's a lot of data points out there, because people like Wolfspeed and other sell that singulated die, so you can -- they actually describe the size of the die. And the numbers that we can see out there is for an inverter, for a electric vehicle, they tend to be about maybe 350 to 400 in some devices, gross die per wafer at 150 millimeter today. And then when you go to 200 millimeter that's going to start kicking in towards the end of the decade in particular, I mean, I don't think the midpoints 50%, till late in the decade, split between 200 millimeter, 150. 200 millimeter as about 75% more die per wafer. We've been using the number approximately, and this has averaged over this whole period, like maybe 500 die per wafer is all you're going to get off of these wafers for call it six-inch equivalent wafers. And that's rounding up, I mean, and then we know that there's about 48 die, or there are 48 die per inverter, which is per engine. And so I've seen people, some of the silicon carbide suppliers use numbers like four engines per wafer to maybe eight or 10 on the high-end side. And so you can start looking at each how many wafers are needed to supply a single engine car, the model three is what 70%, 80% of their cars are sold with two engines, et cetera, et cetera. The current I believe, I think is, on the one and a half plus average engines per car at some point in time. So we can see where the demand is coming from. From our tool, it really comes down to the test and burn-in time. And that is something that continues to be dynamic. We have talked publicly about there have been public statements by some of the suppliers out there that have talked about six hours, they've talked about 14 hours, they've talked about 24 hours. In some of our modeling, we've talked about test times being able to get down to say 12 hours of burn-in, and on a system like ours with 18 wafers, that theoretically means you could get 36 wafers per day out of it. Now, we know for a fact that there's a number of conversations going on in the industry, that the burn-in times are likely to go up. There's as much pressure to go up as to go down and the pressure is that there still is more opportunity to increase the quality by increasing the burn-in times to remove infant mortality to get down into the sub 100 or even 10 part per million numbers. There's a lot of capacity today that has been shipped in die form. And there were public statements that talked about being able to ship the die form with 99% of the failure screened out. Well, that's awful. I mean, that means you have a 1% of the die still need to go through some sort of quality, burn-in at a later date. There's actually two big suppliers out there that supply die sales today. And one of them was the one that actually talked about that 1% failure rate, that's just not going to be good enough, we think that you need to be down in the 100 or single-digit part per million failure rates and you're going to need to have longer burn-in times. Lastly, folks like Danfoss and BorgWarner and companies that are only buying singulated die are demanding and specifying stabilized threshold voltages of the devices before they put them into the multi-chip modules. And that actually takes a considerable amount of time to actually stabilize that through a burn-in process. So those two things are driving test times up, there's obviously cost pressures to try and drive it down. And we think that, test times will continue to be in the -- on average, multiple hours up to 12 or perhaps even 24 hours depending on the customer and where the product is throughout the decade.
Christian Schwab: Okay, great. And then into my last question, again, kind of on the wafer start side. Others are projecting, that silicon wafers for the automobile industry will have to at least triple, over a three-year timeframe to potentially hit the penetration rates that are expected. So, as we look at your leading customer, and let's assume, that they grow with the industry and their market share remains, whatever it is today. I guess there's no reason to believe that they couldn't be at least three times larger than they've been, over the last 12, 14 months of orders. Is that the right way to be thinking about that?
Gayn Erickson: Yes. I mean, it's always awkward. So we announced on semiconductor as a 10% customer last year. On semiconductor was a distant sixth or seventh place player in a three-man race two, three years ago. I mean, they did a couple few million dollars, where it's very clear that they are taking a significant amount of share. And they're boldly out making comments about the first company to reach a billion dollars in silicon carbide. This again, from a company that a couple years ago didn't do 10 million. They also just announced a billion dollar -- a commitment to a billion dollars it was in Korean won, but into their Korean facility for silicon carbide. And so, they're making some significant investments and it's going to take them and a whole lot of other people to supply the demand. I listened to ST and they were talking about the capacity they're increasing in Singapore over the next year, and then a new fab coming online in Sicily, Italy in 2024. And they were saying they don't believe that they're going to be able to sustain their market share, even without adding an entirely new fab. So there's going to take a lot of new players, and there's -- we kind of look at it as a land grab, there's a lot of folks getting into here. We're trying to run as fast as we can. We're adding resources in sales and marketing and other things to try and get, make sure we get our message out there. We're adding applications engineers and doing some things structurally to be able to address more customers. Because there's going to be a lot of new and big players out there from our perspective. So pretty exciting time.
Christian Schwab: Yes, sounds very exciting. Congrats again on a great year. No other questions. Thank you.
Gayn Erickson: Thanks, Christian.
Operator: Our next question will come from Larry Chlebina with Chlebina Capital Management. Please go ahead.
Larry Chlebina: I got a quick question. Your anticipated additional sales, I think you said and automating the XPs going forward. Is that last August, you had a sale to your lead silicon carbide customer or an automated aligner? And is that going to revenue anytime soon or did you already shipped it?
Gayn Erickson: Yes. It is going to revenue anytime soon. So you're actually been bouncing around a different question, I'm just going to share it here. That order, we talked to the customer about it. And we have converted that order into our next generation automated aligner. That new liner is available in both what we call a standalone or an integrated form. Sometimes people want to do as we do today with our volume customers, which is they share an aligner across multiple systems. There's other customers that want to take the aligner and bolt it right onto the front of it and remove the people that are actually moving the WaferPAKs around similar by the way to how all packaged part burn-in is done today is with people moving around these bps. In our case, they're called WaferPAKs. So in fact, the order that we announced today is the second order for that system, those aligners will be shipping over I mean, the second one will actually ship before the end of February as well. The automated version of it is just more integrated, it has some additional R&D that we're going to be working on over the next three to six months. And we are now have quotations out and we'll be accepting orders for it in the automated form for delivery sometime towards the end of our fiscal year.
Larry Chlebina: So the one you put in the press release today from -- for the 12.8 million. That's actually the second automated aligner.
Gayn Erickson: Yes. That’s correct.
Larry Chlebina: And that was the first one you expect revenue. When did you say again? Did you mention it?
Gayn Erickson: I actually haven't given a commitment on that. But prior to the second one, which will revenue in February, how's that?
Larry Chlebina: Right. I hope so. So since this is your lead silicon carbide customer, do they have intentions of automating all of the XPs that they're eventually either have or going to receive? Is that kind of what your expectations are?
Gayn Erickson: Not at this time. No. They like other customers are totally convinced they want to be offline because of their extended burn-in times in the way they used the tools. And so we offer the ability -- we kind of say yes to every customer. So this gives us an opportunity. There are customers that absolutely feel strongly one way or the other and we want to be able to meet their needs.
Larry Chlebina: So some of the potential new silicon carbide customers may be fully automated is that…?
Gayn Erickson: I believe that is true. That's correct. Yes.
Larry Chlebina: Okay, then initially this application or a fully automated XP by the way, what are you calling a thing? Do you have a name for it yet?
Gayn Erickson: We haven't named that system yet. We'll get a name out later this year.
Larry Chlebina: Okay. So the initial application I thought was for memory, specifically flash memory for a stack die applications in order to get rid of the infant mortality risk on one of those stack dies. Is that you expect to get kick that off anytime soon now that you're on the verge of launching this new product yet to be named new fully automated XP?
Gayn Erickson: It's always been a little bit hidden down in the comment sections, but we've teased people at every quarter along the way. We had actually done some design reviews with a couple of key memory suppliers on this aligner right before COVID. And all those guys went very, very quiet during COVID. We've had conversations that have been, quite frankly, a little bit in the background, their comments to us were at this point, they're ramping what they have. Nobody is doing evaluations, which I think has been the experience across the whole semiconductor test business. Nobody was really buying new things. They were buying what they had before. So we've had some recent conversations that lead me to believe that there's the opportunity to renew those discussions is upon us.
Larry Chlebina: With the slowdown in memory slightly that they will be more open to kick some off like this. But the question is, is it your intention? Or do you think the best way to look at this would be an existing fab that would be adding this capability because it would look so confident.
Gayn Erickson: No. Definitely not. My experience is usually the best time to cut in is at discontinuity, such as a new fab for going in.
Larry Chlebina: Even though there are cost benefit might be so great that, can pay for itself, so in six months, or…
Gayn Erickson: That has been my experience, in particular, as they add these new fabs and they will put a floor space in plan consistent with whatever it is that they plan to put the tooling in on. That would be my experience.
Larry Chlebina: Lastly, along those lines, with that new capability, would it make sense to joint venture with maybe an ATE testing company to incorporate, since it's a fairly long burn-in, where maybe they could do the ATE test on a wafer? While you're burn-in in 18 wafers, they could do maybe one at a time, but get 18 done during the entire burn-in cycle, is that something that you guys might be considering because that seems to be, seems to make a lot of sense.
Gayn Erickson: We are getting a lot in the futures here. But let me just make a plug. There's not an ATE product out there that has the level of density and power management that could fit into our XP, that's one of the key differentiations that we have is that we're able to put a 2048 channel ATE system into a basically a 3.4-inch pitch and put 18 of them in the same footprint as a regular ATE system with not dissimilar pin count testing one wafer. So I would not -- if I could, I couldn't pick one ATE supplier out there that I wish they could build a tester and stick into my system. I think we're actually more differentiated. The FOX-XP system and its base hardware was in fact defined around capabilities that are much more complex certainly than, a MOSFET, for example, it has full digital capabilities, pattern generation, et cetera. And it is capable of testing these flash memories. So I actually am pretty proud of the system, we spent a lot -- we haven’t talked a lot a lot lately. Now there are other ways to potentially partner with some of the supplier or some of the customers who themselves have done some of their own work with test and that could be something to think about. But most days I wake up and I focus most of my energy on what's going on exciting in the silicon carbide space. The memory business in time is everybody who has heard me talk knows.
Larry Chlebina: All right. That's all I had. Thanks. Again, great quarter and keep up the good work. Good year, look for a better year.
Gayn Erickson: Thanks, Larry.
Operator: Our next question will come from Dylan Patel with SemiAnalysis. Please go ahead.
Dylan Patel: Hey, thanks for taking my question. I want to ask about this test intensity sort of question so many other tests firms sort of speak about the relationship of lower yields meaning higher test intensity and right now silicon carbide yields aren't pretty even at the best firms but they're expected to go up. My understanding of your solution is that it's unique in that, because it's burn-in. You basically test the same regardless of how low or high yields are, is that accurate? Or do -- I get that low yields necessitate, please people would want to buy your product, but can you expand on the durability of demand even if yields reach multiple nines eventually?
Gayn Erickson: Yes. Okay. So there is certainly correlation between low yielding devices and devices that are more apt to need reliability and burn-in. But at the same time, the failure mechanisms are not the same. The primary mechanisms that cause the yield and the devices are not the ones that are necessarily induced by the burn-in. The burn-in sometimes require additional energy through heat and voltage and power to actually create the tunneling effect on the gate that causes this failure, you can't actually test for it, you have to actually do a stress test to find it. So there are devices with low yield, that don't use burn-in the application doesn't need it. There are devices with very high yield that need 100% burn-in. DRAM would be an example of it. DRAM has extremely high yield, but it still has 100% burn-in to catch about a 1% defect and has now for 40 years. So that's a scenario where, there's way more money in it to get rid of burn-in in DRAM than even silicon carbide. And no one's figured out how to do it. The information that I'm hearing from the silicon carbide folks is that they don't believe that there's any chance that burn-in is going to go away basically, in the horizon of a decade or more. One thing is going to happen is there will be ways to try and optimize test time by increasing temperatures and doing things to try and optimize. But you're always writing the line that if you stress the device a little too much, you can actually damage it. And so there's a balance. One of the analogies I've used is a microwave versus an oven. You can actually cook a turkey in a microwave but it doesn't come out that well. And similarly, if you apply enough energy to a silicon carbide, you can induce the failure within potentially seconds. But you will absolutely damage it and it won't last for months, much less years. So I've actually found my experience so far consistently with the customers I've been working with. They're actually applying less thermals and less voltages than I thought they would, because they're trying to keep those devices to have long-term or intrinsic reliability to meet the needs. So there's always sort of a balance there. Again, I don't believe that, that I think as yields go up, one thing I actually heard one of our customers talk about is that the next generation and generation after the device yield is actually expected to improve, but the burn-in times are going to get longer, which is definitely not intuitive. And the reason they said is, it's going to take longer to actually get the failure, it will take longer to induce the tunneling effect that creates a failure. But if they don't, then the part instead of it dying three months later in a car, it would die maybe two years later in the car. And that's catastrophic if your entire fleet of cars were to start failing with walk home events three years later. So anyhow, there's a lot of science involved in this thing and it does appear at this point that burn-in is here to stay for a while on these devices. Thank you for the question.
Dylan Patel: Great. And then I wanted to switch gears to WaferPAKs related to Silicon Photonics. Specifically, where is the burn-in specifically happening on the silicon photonics? Is it happening on the indium phosphide wafer where lasers are fabricated? Or is it happening once you bond them onto the silicon photonics wafer?
Gayn Erickson: Well, we have examples where customers want to burn it in on a wafer, call it a substrate that would then be bonded on. But the examples of our current customers are all in a scenario where well, on the wafer level customers where they're bonded on and then they're burnt in after they're bonded on. So and customers like Scorpios, which we've announced they actually fabricated on. It's printed on if you will as a process known, so it's not really a bonding if you will, and they do the burn-in on the wafer level for scale before that die is singulated and then placed into the system.
Dylan Patel: Okay. Thank you that was helpful for trying to understand, when there's new generations of lasers, or if it's when there's a new set transceiver and it's the latter. And just one last little question is, in the past, we've talked about difficulties visiting your major prospective clients, especially in Asia, like China, South Korea, and I've luckily been able to start visiting some of my clients and have you been able to and you think that's going to help move the needle on some of these future customer orders or evaluations?
Gayn Erickson: It is. I mean, Europe has been pretty free and getting better. You aren’t getting get back to the U.S. without passing a COVID test as of like last week, but we've been able to freely move there with some restrictions. We've had people that are moving to and from the U.S. and Asia. And we've got some -- recent Asia customer that's been making visits here. So I think it's opening up, China's still pretty iffy. But as that opens up, we think that will be better. Yes.
Dylan Patel: Great. That concludes my question. I look forward the next year.
Gayn Erickson: Awesome.
Operator: [Operator Instructions] Our next question will come from Bradford Ferguson with Halter Ferguson Financial. Please go ahead.
Bradford Ferguson: Hi, my clients are now 1% holder of your company now so shareholders. I was curious, what's keeping the likes of these the serious silicon carbide makers from creating their own wafer level burn-in and curious what's protected? Is it the 18 wafers at a time? Is it the aligner? Or the loader? What's protected from that?
Gayn Erickson: There's actually a lot of protection, is it Brad, I guess it's nice meeting you. So while our systems have a significant number of patents and IP that make a very significant hurdle to get into, if you understand our space, an expert in the test space, they will tell you that being able to test a wafer is not novel, every semiconductor wafer in the world has been tested. And they are all tested in a similar way with what's called a wafer prober, a probe card, and a tester that sits on the wafer prober. I built them for years. When I built a tester, I had to build a tester that would always sit on the generic platform of the three major prober suppliers and each other five or six probers. So there's like maybe 20 probers maximum or something, maybe it's less than that, that the tester was generic to. The probe cards all had to be worked with. If you want to build a tester you had to build it with that would work across, half a dozen to a dozen pro card suppliers. And all the folks like form factors and techno probe et cetera have standard design packages for a specific tester. And the product teams in the tester groups work with them to ensure that the probe cards are there when the testers come out. Similarly, the docking to the prober, these sort of three pieces create sort of commoditized and stable market, because you could buy any one of the three probers any one of the 20 probe cards, any one of the five or six testers out there. And that's how the world has operated. With us that problem was a you couldn't break through a cost barrier. If you start with a $300,000 prober that's the footprint size of a Prius in a parking lot. And you need to put 100 or two or 300 wafers worth of capacity in place because you have a 10-hour burn-in time, you can't get there. You just -- the cost of the depreciation of that capital equipment sitting in a wafer test environment is too high. So what we have is we've created a prober list tester, it actually doesn't use a prober. It doesn't use a standard probe card with the normal force displacement. Its planarity comes completely different than the patents in the wafer -- in the probe card industry. And we use a tester with a tester interface that doesn't exist by anyone else. There are several features about our system that literally do not exist by anyone. So if a tester supplier want to come in, first of all, they would step all over our patents, everything from how we contact a WaferPAK to how we distribute power to onboard components, there's a number of patents that we do that they can't do this blade architecture, if you're a pro-card supplier, you would have to build a pro-card that would look just like our WaferPAK that absolutely positively would violate a half dozen no more of our patents. We've approached some of the big suppliers about potentially being partial suppliers to us. And some of those big guys, their probe tips would rip completely off the WaferPAK because we run 150 C, and we run them from room to 150 C in back without a soak time. And those probing, the MEMs base probes would never survive. Okay. We have direct quotes from people on that. So we do it differently than them. And the prober companies have no vested interest in being involved in a prober release program, and a prober list tester. So, in fact, that was part of the real risk associated with us for the early investors. In order for somebody to actually go with our solution. They had to close their eyes and have confidence that we would just supply with them the tester, the probe card and the handling equipment, because if any one of those didn't work, nothing would work. And so there was a point in time where it was like -- is anyone going to be -- have the nerve to actually do this. And then looking back as people know, now, our lead customers that became 10% customers included the likes of Intel and apple. And now it looks a lot easier with some large suppliers that are ramping. But if you were to go out and try and build what you have, there's no way to do it without violating our patent and it would cost you a lot of money and a lot of time to try and do it even if you wanted to violate the patents. So we have an enormous head start an IP advantage. And right now we are not aware of any company who has been told that anybody is working on a prober list system like ours. And we keep our ear to the ground so that we can quickly take legal action against anyone who tries.
Bradford Ferguson: Okay. That's great. I'm guessing that the FOX system can handle 200 nanometer today.
Gayn Erickson: 200-millimeter wafer size, is what you meant. Yes, we can. We actually do four inch, six inch, eight inch and 12-inch wafers today, with our WaferPAKs, they're all in volume production and all of our FOX WaferPAK aligners can handle all of the above.
Bradford Ferguson: So 12 inches effectively 300 millimeters, is that right?
Gayn Erickson: That's correct. Yep. Yep.
Bradford Ferguson: Okay. So several of the serious players are creating new fabs that are dedicated to silicon carbide and gallium. And they're intending to grow at four. Yes, they're intending to grow at 40% a year with their silicon carbide business. Meanwhile, we look at EVs growing at 100% a year. So it seems like maybe they're being a little conservative. And you all are guiding to a high end of 40% annual revenue growth? What makes you all a little on the conservative side? Is it, I’m wondering whether Photonics is going to come through finally this year? Or is it just a nervousness about when orders come?
Gayn Erickson: I think it's just a timing of orders and when not if. We've alluded to our order growth is going to be higher. We've never guided orders, we talked about as a board whether we should do that. So we've at least said for the first time they're going to be higher. The question is, when is the timing happening? I mean, we've talked about this in previous calls, there were some of those big silicon carbide companies that one year ago, we're talking about opening up a fab by the end of the calendar year, like, last December. And people were beating me up, and I felt bad that, how come you haven't sold them away for a little burn-in system. And the reality is, is I was questioning that ourselves, trying to understand what were we missing. Till the dust settles and we realized that they're not even sampling out of that fab yet. And that break production isn't going to be really until next year. So I think that the timing of these new fabs and their output is the piece we're watching. But there's no doubt that some of that time is behind us. And the pending orders coming from the automobile companies are driving big dollars, to put this capacity in place, or during 23, definitely, to meet the 25 ramp. And so that's where the hesitation comes from. And we're doing a ton of things in the background to our supply chain to ramp it up. To be able to do things faster to do. We were doing more outsourcing with our contract manufacturers, so that we can assemble and test a system in a much shorter period of time. And I was I mean that data point, folks, we shipped a system. And on the eighth day, basically or the ninth day, they tested 18 wafers. Okay. It's like shipping 18 testers and having them all released eight days later, that is crazy. And that's awesome that both talks to how much demand there is and how they're pulling. But Vernon and his team and my support guys are just awesome that they could do that. And as we do that, that allows us to ramp faster and faster for people. So I'm trying to be cautious and appropriate with setting Street's expectations but I don't think I've ever been more optimistic than we are right now.
Bradford Ferguson: And one more question. Revenues versus last quarter grew 5 million. But your COGS only grew a million. So even if you adjust for that inventory write down that happened, it seemed like your COGS only grew by 2 million. So to me that says you have a potentially a 60% gross margin as you scale bigger and bigger as you…?
Gayn Erickson: You are within a point. You are right. You're dead on. Yes, are what we call our direct margin, which is basically our total costs, including warranty, et cetera, are about $0.40 on the dollar. And our margins are actually improving from last year to this year in direct margins. As we go to 200 millimeter WaferPAKs, our margins are actually improving. But the customers are delighted because they get more lower costs associated with it. Our new systems are actually we're expecting to see improve margins related to some of the new features that we think provide additional value to customers. Yes, a lot of things are going right for us.
Bradford Ferguson: All right, thank you very much.
Gayn Erickson: Thank you, Brad.
Operator: Our next question will come from [Wally Waldman] [ph] with Constitution Research. Please go ahead.
Unidentified Analyst: Hi, Gayn, how are you? Well, a couple of just fill in the blanks. Can you hear me? Okay.
Gayn Erickson: Yes, perfect.
Unidentified Analyst: Okay. Did you maybe I missed it? Do you say what percentage your revenues your lead customer? Was either for the year or for the quarter?
Gayn Erickson: Yes, it was a significant number at over 80% -- 82% is what Ken telling me across the board right now.
Unidentified Analyst: Okay. And I'm also curious when you talked about going forward your R&D spending more, you spent, you focused on the silicon carbide mark. And now you're focused on let me call it the legacy markets. But I'm curious if that spend is going just to upgrade in the hands existing tools? Or you're trying to develop new tools for new markets?
Gayn Erickson: Yes, it's -- there's a little of both. There's some things that we're doing to add some voltages and all that some customers have specifically asked us, they would allow us to win that customer, but they're in the same market. But because remember, everyone does do everything exactly the same. There's also things that we really would consider new markets and opportunities. And I think, particularly the automated aligner, there's going to be certain classes of markets that really makes a lot of sense. So it's a mix. But there's a lot of things that we're doing just to make sure we shore up to capture sort of the markets that we're in, capture a larger if not dominant market share of that, and address all customers. But we're also doing things that we think are at a play forward, like for example, the applicability to memory that Larry was talking about.
Unidentified Analyst: Okay. And then you've talked over the last couple quarters about potential new customers. I'm curious, so that $50 million annual revenue, fiscal year revenue, how much of that came from existing customers? And how much came from new customers? Or however you want to fray answer that question?
Gayn Erickson: Yes, it was pretty, I mean, we consider our lead silicon carbide customer, an existing customer. So we just talked about 82%. I think when we started the year, we were expecting, and I think I would have shared that we were going to get one or two, probably single system orders or something by the end of the fiscal year and they didn't come in from the new customers. We're excited about where we're at right now heading into the year. But it's sort of surprising to me that some of that stuff didn't happen as fast as it did. We did not lose those customers, they did not change their mind. They have -- they're more engaged with us than they were a year ago in this case. But it's been bizarre, and it's sort of taking some time. This year is -- this is revenue, I won't give specific numbers, but we believe a good chunk of that is going to be new customers. And has a potential -- some of the growth is from those new customers too. But candidly, our current customers could easily surprise us, just based on the tone they're talking about and kind of re-engaging. And so we're trying to make sure we have plenty of material and the supply chain to be able to address that mix, if you will, during the first half of calendar year next year in particular, where there's more uncertainty.
Unidentified Analyst: I don't know if you are willing to answer this enough, but the last couple quarters you've talked about being a to handle volumes above what your existing forecasts, I'm just curious what your sales capacity would be? Or what it is, could you -- if the [indiscernible] you ship $100 million, or 80 million? What's that look like?
Gayn Erickson: Well, I'll tell you what I give you this one. Ken mentioned it the other day. So we just by the math, we did 20 point, whatever million in Q4, over half of that was in May. Okay, so, we're doing 120 million on runway.
Unidentified Analyst: So I can write down 120 in my model.
Gayn Erickson: We have proven to ourselves that we have the ability to do that right now. And I don't believe that's enough, as we go forward over the next several years.
Unidentified Analyst: Last quick question. Pricing, were you just passing through your cost increases? Or were you able to get out in front of that.
Gayn Erickson: You know, what we've been able to manage our vendors fairly well and penalize them drastically, when they try and raise their prices with us. I just disdain that. But there have been certain things like shipping, oh, my gosh, last Christmas, we normally would ship chambers, we have two chambers, suppliers, we ship them. They're built-in low-cost regions that to our specifications. And normally, our chambers would cost us like $2,000, if we put them on a boat each to ship them to us. We wrote a check for $96,000 for a pair of them to get them here right after Christmas. Because they couldn't get on a boat, LA was locked up, if you want to see it on a plane $48,000 a piece, it's crazy. We wrote the money. I did not pass that on to the customer. I had tear in my eye and explain it to him. And those costs are coming back down again. It's our hope to try and manage this. We are seeing some raises of some prices in certain areas. But we've been able to manage it fairly well.
Unidentified Analyst: Okay. Thank you. That's enough.
Operator: Our next question is a follow up from Christian Schwab with Craig-Hallum Capital Group. Please go ahead.
Christian Schwab: Hey, just a quick follow up, Gayn, is there any reason, other than, I guess, lack of success, by new customers designing new end-to-end customer shipments. But we've already discussed at great length, the rapid growth that's going on, that these other customers couldn't ramp, in a one year plus or minus timeframe from when they start giving you orders to a similar level is on? Is it fair to assume something similar to that?
Gayn Erickson: Yes. I mean, yes, and no. I happen to have a pretty good idea of what those guys are. So it depends on the timeline. So if you said, within a year, can they be as big as on for the first time they take a system? I would say, yes. Could they be sooner, even sooner than what, sorry, our original customer? Probably, our first customer bought a system and then didn't take another one for, about a year-and-a-half. That's not going to play out with the new guys, I don't think. I think they're going to go much faster. And do they have the ability to do $20 million, $30 a piece? Absolutely. Any year.
Christian Schwab: Great. No other questions. Thanks, Gayn.
Gayn Erickson: No problem.
Operator: I show no further questions. I would like to turn the conference back over to management for any closing remarks.
Gayn Erickson: I appreciate it. And thank you, folks. We've had some feedback that our conferences do run aways, but I wanted to make sure last time we ended up cutting off before everybody got their questions in. So I'm glad that people had a chance. So with that, I appreciate everyone's time. We're really excited about this fiscal year. We look forward to seeing you at one of the investor conferences or on our next call. Take care now. Bye-bye.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.